Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Jumia's Results Conference Call for the Fourth Quarter of 2020. [Operator Instructions] After management's prepared remarks, there will be a question and answer session. I'd now like to turn the call over to Safae Damir, Head of Investor Relations for Jumia. Please go ahead.
Safae Damir: Thank you. Good morning, everyone. Thank you for joining us today for our fourth quarter and full year 2020 earnings call. With us today are Sacha Poignonnec and Jeremy Hodara, Co-Founders and Co-CEOs of Jumia; as well as Antoine Maillet-Mezeray, CFO. This call is also being webcast on the IR section of our corporate website. We will start by covering the Safe Harbor. We would like to remind you that our discussions today will include forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the Risk Factors section of our annual report on Form 20-F as amended on July 8, 2020. In addition, on this call, we will refer to certain financial measures not reported in accordance with IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. With that, I'll hand over to Sacha. 
Sacha Poignonnec: Thank you, Safae. Thank you very much. Welcome, everyone. Thanks for joining the call. I hope that you are all staying safe and well. The focus of our strategy has been very clear and remains unchanged, build a sustainable platform to capture this great opportunity of e-commerce in Africa. And what we mean by sustainable is to bring indisputable facts and evidence that our business model positions us well to become profitable. And as you can see in our results, here are the facts for the culture [ph]. Number one, we have reduced our adjusted EBITDA loss by 47%. We are now for five quarters in a row profitable after fulfillment at group level. The majority of our country is now breakeven before G&A. We are growing the usage of Jumia in the categories which we have chosen to focus on. And we do all of the above with lower G&A expenses and lower sales and advertising expenses. So, overall, we feel very strong about those results, which clearly bring more evidence of the strength of our business model. If we look into a few more details on Page Four on the usage of Jumia, of course, 2020 was marked by the business mix rebalancing towards the highest share of everyday product categories and by a strong focus on efficiency, ensuring that the usage would drive attractive unit economics. We drove down the share of phones and electronics from 66% to 43% of GMV. We achieved the five point improvements in cancellations, failed deliveries and returns, which went from 30% to 25%, meaning that the usage we drive is more efficient and can be better monetized. GMV and orders, post-CFDR, has been growing by 16% and 19% on all the business outside phones and electronics, which is the business we have deliberately chosen to reduce. On usage for us, it was a year of choice of going selectively and efficiently. JumiaPay. TPV increased by 68% and the penetration has now reached 35% of orders at group level. We added more than 100 new digital services on the JumiaPay app in order to bring more relevance and convenience to our consumers. On revenues, marketplace revenue and gross profit increased by 20% and 22%, respectively, and our gross profit margin as a percentage of GMV increased by almost four points now reaching 12%. And last but not least, we generated significant savings across all cost lines, and we now have a leaner, more efficient cost structure. Fulfillment expense went down by 10%. Sales and advertising went down by 42%. And G&A, outside share based compensation, went down by 12%. So if you look at our P&L, we're going to profitable usage. We're increasing the gross profit after fulfillment, while decreasing G&A and sales and advertising. So mathematically, we'll reach breakeven, if we continue to do that. On Page Five, in 2019, we set ourselves a clear objective, reduce our loss in absolute terms. And I think it's clear, very clear that we are delivering strongly against that objective. We reduced the adjustability loss by 10% in Q1, 26%, into Q2, 50% into Q3 and 47% in Q4. And this progress, importantly, was achieved as a result of driving both more profitable usage and lower costs. On Page Six, you can see how we have transformed our P&L over the last few years. In 2019, we were still not making money after logistics. And overall, for every order which was placed on the platform, we were still making a loss. And you can see also our cross-border [ph] moving up. Now you can see how gross profit after fulfillment is continuously increasing, having rebalanced the category mix and leveraging linear cost base, each order we now generate takes us closer to profitability. And at the same time, the cost structure is clearly becoming more efficient across the board. So once again, a clear evidence about the path to profitability at the P&L level. On Page Seven, if we zoom on the unit economics for the quarter, our average order value is now EUR29. That's 19% smaller than last year. And every single component of our unit economics has improved. Gross profit per order plus 15%, gross profit over GMV plus almost four points. Gross profit after fulfillment, now, EUR1 when it was EUR0.1 last year, sales and advertising minus 33% per order; taking [ph] G&A, minus 28% per order. So a lot of progress made, both on the revenues and on the costs. And this progress, as we have been talking about, has been achieved without tailwind from COVID. We discussed already last time. And we discussed that COVID did not lead to any drastic changes in consumer behavior on our platform nor meaningful surge of volume at pan-African level. Rather, it had net negative effect on the business due to localized supply and logistic disruptions that we have been experiencing throughout the year. Obviously, the situation is still evolving. We continue to monitor, in particular, the rising cases, the rollout of the vaccine and at what speed that will happen and the overall negative impact on consumer sentiment and spending power. What's important is that all the actions that we took last year, in 2019 and 2020, whether it's the increased focus on everyday categories, or the cost efficiencies that we generated, and also the proactive capital raised that we conducted in December, all those actions, they enhance our resilience to volatility, macro-volatility, and they position us very well for the long term. And I'll conclude by sharing with you on Page Nine a few of the many initiatives we undertook this year. Our key priority has been helping our people, consumers, sellers and communities we serve to stay safe, of course, and as much as possible, functioning through the crisis. Over the initiatives, we illustrate how important it is for us to drive impact beyond our day-to-day operations. And obviously happy to give you more color in our discussions on all this. Our mission and our values drive our actions. And we are immensely grateful to our teams, our frontliners, in particular, who have truly embodied these values and acted with an incredible sense of purpose, resourcefulness, and dedication. We thank you all very, very much for that. And with this, I'll hand over to Jeremy.
Jeremy Hodara : Thank you. Hello, everyone. Our focus in Q4 2020, and in fact, throughout the whole year was to drive the usage with one, high level of marketing efficiency, and two, in a disciplined and selective manner, favoring the categories that supported the consumer lifetime value and profitability. On Slide 11, on the first point, you can see that in Q4, 2020, we continued driving usage with very strong marketing efficiency. Having built over the past nine years, one of the strongest brands in Africa, we are now able to be much more tactical and much more efficient in our sales and advertising spend. As we reduced our sales and advertising spend by 34% year-over-year, the GMV was down 21% year-over-year, reaching EUR231 million in Q4. Sales and advertising expense per order decreased by 33%, while orders declined by 3%. On the other hand, while the annual sales and advertising expense per annual active consumer decreased by 48% year-over-year, our annual active consumers were up 12% with both new and returning consumers. It's worth noting that the GMV and the orders accelerated by 23% and 21%, respectively, in Q4 2020, compared to Q3 2020, supported by the Black Friday event that we did in November 2020. And despite a significant reduction in marketing spend, in the 2020 edition of the events, we still registered record level of consumer engagement. Page views across all platforms reached 1.5 billion during the event, that's 33% compared to last year, and our Black Friday video content registered almost 100 million views, which is three times higher compared to the 2019 events. And this speaks to the relevance of our platform and the content for consumers. One aspect that we monitor very closely when it comes to the usage growth is cancellations, failed delivery and return ratio, and the trend of our usage indicators, post-CFDR. If you go on Page 12 and you look at the full year 2020 trends, you'll see meaningful improvement in this ratio, both as a percentage of the GMV and the order. The GMV ratio improved from 30% in 2019 to 25% in 2020, while the order ratio improved from 22% to 16%. This improvement means that our usage is becoming more efficient, because a higher proportion of the gross rebates [ph] can be monetized and our marketing investment even more efficient on a net basis. And in fact, we have been growing the profitable usage. GMP and orders post-CFDR, has been growing by 15% and 19% on all the business outside phone and electronic, which is the business we have deliberately chosen to reduce in the context of the business mix rebalancing that we undertook. If we look at Page 13 and the impact of the business mix rebalancing. One, we reduced our reliance on phones and electronics which went from contributing 56% of our GMV last year, to 43% this year. Two, in parallel, our average order value decreased by 23% from EUR39 to EUR30, as did everyday categories such as beauty, FMCG, fashion, which are gaining prominence on our platform and GMV are typically lower ticket sites. And three, while smaller in average value, our orders are also more profitable, as gross profit after fulfillment expense per order went from a loss of EUR0.10 in Q4 2019, to a profit of EUR0.80 in Q4 2020. So in conclusion, on usage, we grew where we wanted to and very efficiently. We have a better mix of categories today than a year ago, and much better unit economics. Let's now look at JumiaPay on Page 15. The TPV increased by 30% from EUR46 million in Q4 last year to EUR59 million in Q4 this year, taking on platform penetration of JumiaPay as a percentage of the GMV from 15.6% to 25.7% in Q4 this year. On Page 16, JumiaPay transactions increased by 10% from EUR2.4 million last year to EUR2.7 million this year, with transactions above EUR10, which include prepaid purchases on the Jumia physical good marketplace, and Jumia platforms growing by 55% over the same period. Overall, 33.1% of the orders placed on the Jumia platform in Q4 2020 were paid for using JumiaPay, compared to 29.5% last year. So JumiaPay will be the checkout solution that provides our consumer and sellers with a fast payment experience. At checkout, consumers can create a JumiaPay account by linking it to the underlying payment method of their choice. JumiaPay stays order to the relevant payment methods in Africa and encompasses more than 15 different underlying payment methods. It's also underpinned by our tech stack that's recording 99.9% of time in 2020, including during the major promotional events such as Black Friday where the uptime [ph] was 100%. The other aspect of JumiaPay that I'd like to spend a bit more time on is a JumiaPay app, which is a great way for us to provide consumers with more payments use case that are relevant to them, and tried the user engagement and stickiness for them. And now on the Page 17, we're building JumiaPay app with a view to making it a destination for broad range of lifestyle and financial services, all offered on a prepaid basis and powered by JumiaPay. At the end of 2020, JumiaPay app had approximately 200 services live on the app, offered by 33 partners across five countries in Africa. Since inception in 2018, the app registered over 4 million downloads and is highly rated by consumers. We are focused on building a diversified category mix on the app, with 43% of 2020 GMV coming from airtime, 40% from [indiscernible] and internet payments. We are also developing new categories where we see meaningful growth potential, such as financial services, which already accounted for 10% of the JumiaPay app GMV, gaming, which accounted for 4%, lifestyle services 3% and transportation and travel categories, which are still nascent at this stage. The development of JumiaPay, whether as the checkout solution, and the broader business platform, or the consumer-facing super app, is a key priority for us, and while we have accomplished a lot in the MVP of JumiaPay four years ago, we have barely scratched the surface of the payment and FinTech opportunity in Africa. And we believe that we're uniquely positioned to capitalize on this opportunity. Let's move now on monetization, Page 19. In the context of the 21% year-over-year GMV contraction in Q4, marketplace revenue increased by 7% and gross profit by 12% over the same period. Taking a closer look at our work-use marketplace revenue streams on Slide 20. The commissions increased by 19% year-over-year due to an increase in the share of higher commission rate categories, including fashion, beauty, or FMCG, as well as lower promotional intensity. Fullfillment revenues increased by 14%, as a result of continued shipping fee adjustment, as well as pricing changes within our cross-border logistics. Initially, these changes in Q3 2020 and continue to roll them into fall. As part of these changes, portion of the international shipping fees that were previously charged to the centers are now passed on to the consumers. This change resulted in some of our international logistic revenue to be recorded as fulfillment revenue instead of revenue from value-added services. This is also what drove the 27% decrease in value-added services. Marketing and advertising revenue increased by 30%, as a result of the strong pickup by advertisers of Jumia advertising solutions, particularly during the Black Friday, where we ran campaigns on behalf of over 150 different advertisers, including high-profile partners such as Reckitt, L'Oreal, Huawei, PNG, Intel, and many more. We intend to further diversify our revenue mix by monetizing not only the transaction and the usage of our marketplace, but also the broader assets of our platform. And we're starting to drive revenue from Jumia Logistics. Let me tell you a bit more about it on Page 29. Logistics in Africa are notoriously challenging with multiple hurdles, such as the lack of address, the lack of organized and reliable capacity, storage space issues and so on. So the pain point Jumia Logistics is addressing is very big, and one that is seen by many businesses and industry in Africa. With that in mind, we conducted a pilot in 2020 to open up Jumia Logistics to third parties, whether sellers on the Jumia marketplace or not, business clients can now leverage the Jumia Logistics platform for their fulfillment needs. As part of this pilot, we shipped almost half a million packages on behalf of more than 270 clients across five countries. We have outlined some examples for you on the page. For example, in Nigeria, we work with Kuda bank, Nigeria's first mobile-only bank, as one of their preferred logistics partner to deliver payment costs to consumers. In Morocco, we work with Meditel, local entity of Orange, a leading global technical operator, to deliver SIM cards and activations to consumers. In Kenya, we work with Premier Food, global food and packaged goods producers, to offer logistics solution from their main warehouse in Nairobi to all their distribution centers across Kenya. The results of the pilot are very promising, the traction we have with our first clients reinforce our confidence in the long term growth potential of this revenue stream. And now I'll hand over to Antoine.
Antoine Maillet-Mezeray: Thank you, Jeremy. Hello, everyone. Moving on to cost, I'm now on Page 23. We have been driving strong efficiencies across the full cost structure. Fulfillment expense decreased by 18% in Q4 2020, compared to Q4 2019, as a result of operational enhancements across all logistics operations. These include the optimization of all cross-border shipping metrics, staff cost savings in our fulfillment centers, and a change in our daily repricing model from cost-per-package to cost-per-stop. In addition, we were able to pass on an increasing proportion of our fulfillment expense to the combination of consumers and sellers via our fulfillment and value-added services revenue streams, respectively. The pass-through of all fulfillment expense measured at the ratio of fulfillment plus value added services, revenue over fulfillment expense increased from 64% in Q4 2019, to 76% in Q4 2020. As a result, we are pleased to report the fifth consecutive quarter of positive gross profit after fulfillment expense, which reached a record of EUR8.4 million in Q4 2020. And now on Page 24, sales and advertising expense decreased by 34% from EUR15.5 million euros in Q4 2019 to EUR10.2 in Q4 2020. All marketing efficiency metrics are showing strong improvement. Sales and advertising expense per order decreased by 33% from EUR1.9 in Q4 2019, down to EUR1.3 per order in Q4 2020. Annual sales and advertising expense per annual active consumer decreased by 48% from EUR9.2 per annual active consumer to EUR4.8, and sales and advertising as a percentage of GMV decreased by 88 basis points from 5.3% to 4.4%. These efficiencies are made possible by the strength of our brand. They are also attributable to continued enhancements in 2020, through our performance marketing strategy across search and social media channels, including through more granular segmentation for target markets, with differentiated campaigns and content for each segment. Finally, our third major cost area is technology and G&A. And we're now seeing meaningful improvements here as the rationalization efforts undertaken in 2019 and 2020 stopping us. G&A expense, excluding SBC, reached €21.8 million, down 36% year-over-year. This was partly a result of staff cost reduction and professional fees savings, largely attributable to the portfolio optimization and cost rationalization initiatives. Moving on to the balance sheet and cash flow items. Our profitability is further supported by our asset light business model. CapEx in Q4 2020 was EUR0.7 million, as we operate Jumia Logistics as a platform with very limited CapEx requirements. Net change in working capital resulted in an outflow of EUR1.2 million in the fourth quarter of 2020. And in fact, for the full year 2020, working capital had an inflow effect of EUR9 million thanks to improved receivables and payables cycles, as well as lower inventory needs. Cash utilization for the quarter, defined as cash using operating and investing activities, was EUR27.1 million in Q4. This compares to a cash utilization of EUR52.9 million in Q4 19 and represents the 49% increase year-over-year. Cash and cash equivalents position at the end of December 2020 was EUR304.9 million. We completed a follow on offering in December 2020 as part of which we raised EUR203 million in gross proceeds, which helped us strengthen our balance sheet and increase operational flexibility, as we scale the business towards profitability. With that, I'll hand over to Sacha for concluding remarks.
Sacha Poignonnec : Thank you. So if we step back, once again, our strategy has been to build a sustainable platform to capture this great opportunity of e-commerce in Africa and by sustainable wins, to bring those facts, those evidences that the business model positions us well to become profitable. And here, why is that so important to us? Because, as we discussed in the past, we operate, what we think is a completely proven business model, very successful everywhere in the world, make every brand [ph] Amazon. Two, we have a great macro opportunity, we operate in a huge continent, which we see as untapped with amazing growth prospects. And three, we have proven that we can operationally overcome the major challenges in Africa, payments, logistics, consumer, and building a marketplace. And so, the only remaining point, the only remaining point is to make sure that as the business scales, it is profitable. And this is why for us, we are so engaged in this phase. And the facts, that I think we have been bringing over the last few quarters are, I think, very good, and they are very clear. We have reduced our adjusted EBITDA loss 47% last quarter, this was a clear objective and was delivered on it. Two, we are making money, I would say, almost structurally after fulfillments. In 2019, we were not making money after fulfillment. And now for five quarters in a row, we are doing that. The more usage of Jumia, the more profit. I think it's pretty clear that the model works. Three, we're still growing, and we are growing the profitable usage where we put our focus, the GMV, orders, post the cancellations in CFTR, have been growing by 15% and 90% of all the business outside from electronics. And we have grown the consumers by 12% this year. We have in Q4, majority of our countries are now breakeven or profitable before taking D&A expense. And as you've seen the P&L dynamics, we're going to profitable usage. We are increasing the gross profit after fullfilments. And we are doing this while decreasing G&A and sales and advertising. So we are in a very good position to reach breakeven, if we continue to do that. This has been the strategy. This is what we are focusing on. And this is what we intend to continue to do until the job is done on the tough stability question. At some point, we expect that we will have enough of those indisputable facts or, call it, profitability milestones to put the profitability question behind us. And at this point, we are going to invest more in order to accelerate the usage growth. And at that point in time, we will be very comfortable doing so. We have a huge opportunity ahead. E-commerce, delivery, payments, logistics in Africa, the continent with more than one billion people, we have an amazing platform to capture those opportunities. And with those recent results, we feel more confident than ever about the strengths of our business, as we are clearly seeing its financial performance coming together. Thanks for listening in and we are now ready for questions.
Operator: [Operator Instructions] Our first question is from Aaron Kessler with Raymond James. Please go ahead.
Aaron Kessler : Thank you. A couple of questions, first from a macro perspective. What do you think will be the catalyst for maybe an inflection in e-commerce adoption across some of your key markets? We've, I believe, seen smartphone adoption increased meaningfully over the last couple of years, which has been a catalyst in other markets for more e-commerce adoption. So what do you think what's going to be the key catalyst over the next couple of years? And then, I think you mentioned leaning back into marketing a little bit. Should we start to see that in early 2021, late 2021, or how are you thinking about timing of leaning back into marketing? Thank you.
Sacha Poignonnec: Thanks, Aaron, thanks for the question. I think on the macro in a way it's -- we can call that the million dollar question in some way. And what's important here is to share a few thoughts. Number one, we did not built the business expecting or hoping an inflection. We've built our business so that as we continue to scale, if there is never an inflection, that if we just continue to grow, it works out. It's not like we have yield [ph] ourselves and we must hit that inflection point or that J-curve, or that hockey stick, or however you call it, we are geared so that if we continue gradually like this for the years to come, we will be in a very good place. So that's one thing, which is very important. Secondly, what are today the barriers for the adoption of e-commerce, when you look at it, we have published some data and now it's since about a year ago, but I think it remains very true about the barriers to usage for the people who have never used e-commerce. And we took in our largest market some people who have never shopped online, and we asked them, do you know Jumia? And back then, we answer was 74% of the people knew Jumia. We asked those people, do you consider trying, and 66% said that they were keen to try it. So, very good awareness, very good consideration. And then, when we asked them, why are you not shopping online, the three answers which were coming out the most were, because I don't know how to shop, because I don't think products are genuine, or because I cannot check the quality of the products. And when we look at those facts, this consumer survey, the good news is that all these barriers are mental barriers, they are not infrastructure; it's not like people say, I don't have internet or I need something that I don't have, it's something which is getting used to it, becoming comfortable with it, gaining the trust to transact with the platform, understanding that, well, people can actually check the quality of the product with the reviews, they can return the product, and so on and so forth; so it's really about this education. Now, having said those two things, we may hit an inflection point, there may be a point where suddenly a lot of people start buying online. And, for example, some people say that the generation which is digitally born -- today, the people who are 18 years old, 20 years old, they are now born with a mobile phone, and they will become prime consumer in our consumer targets, in maybe 4, 5, 6, 7 years. They will be comfortable, they will know how to shop, they will know how to check the quality of the product. So those mental barriers, as the new generation enters into the consumer segment market, one can argue that all those young people, they will not have these barriers. And by this time, we may find this inflection point. But again, we can hope for that, we can construct it that for us, we do not -- let's say, we do not want to create a company that needs an inflection. No, we need to continue what we're doing. Last 12 months, we had 7 million roughly consumers transacting on Jumia, we operate in 11 markets where there are 600 million people and growing. So, there's a lot of consumers that we can go after. And if we have to continue for some time with the same growth, then I think we're in a very good place. If there's an inflection, even better. In terms of marketing, we manage it very dynamically. And so, this is something that it's a bit hard to give, I think the points and whether I understand your question is, when do you answer this next phase where you feel more comfortable investing more for faster growth and when are you done with the focus on profitability? Look, I think it's hard to tell, but certainly we start to feel good about it. And when you look at the fact I mentioned, in the following fifth quarter in a row where we making money on -- on -- after fulfilments, a bunch of countries which are profitable before G&A, we're getting there. So I think, a few more quarters that I think we're getting there.
Aaron Kessler : Great, thank you.
Operator: The next question is from Camille [ph] with Renaissance Capital. Please go ahead.
Unidentified Analyst: Hi, everyone. Thanks for taking my questions. Two questions from me, please. Firstly, could you comment on your growth outside phone and electronics category? I think it was about 15% of the CFDR, which last year -- which doesn't look particularly high, given the stage of market development. So just wondering what prevents the faster growth in your view? And how do you see trends evolving going forward? That's the first one. And secondly, could you update us on the competitive situation in Egypt? How does your growth that compared to the overall market or your main rival, and generally given a tougher competitors there versus other countries? Do you need to do anything differently in Egypt, versus your other markets in terms of marketing investments or logistics or anything else? That's it for me, thanks.
Sacha Poignonnec : Thanks for those questions. And I think on the first one, over the quarters, and over the years, I've always wanted to appreciate the growth together with, I would say, equation of efficiency, both from a marketing efficiency and from a unit economic perspective. And I think on this US team that we have put a lot of emphasis on marketing efficiency. We've reduced the silver advertising by almost a third, by 34%, between the two quarters, and we are comparing with reduced. And, of course, we'll increase the efficiency with that. So I think, one needs to appreciate that. And, as well, you know, the growth can be a function together with the marketing efficiency with I would say monetization pressure that you apply, right, you can see that our pass through of the fulfillment expense to the consumers and the sellers has been continuously increasing. So, we are really being very disciplined in terms of free shipping, discounts, price subsidies and marketing campaigns, and so on, so forth, right.  And I think we are definitely happy to see that we're growing 16%, considering the amount of efficiency improvements that we are generating in sales and advertising, as well as the amount of efficiency that we have driven from a gross profit perspective. And as we think about the future in, you know, when we enter the next phase, we think that we can relieve some of the efficiency constraints, right. And that, of course, the growth will go also faster. So I think it's an equation here and again, it has to be appreciated together with the other components of the equation. When it comes to Egypt and, of course, Egypt is a very big focus for us, it's a market that we have been active for many years. And overall, we've been voluntarily explaining the digital is the second largest market for us, close to Nigeria.  And definitely, we very much adapt our playbook to the competitive situation in Egypt, in the sense that we do not go with the same marketing formula in a country where we have more competition than a country where we have less competition. We don't put the same pressure on unit economics, and we adapt, I would say to the competitive situation to a large extent, but most importantly, we adapt our business model and we try to focus on adapting to the local specificities and our playbook, the Jumia playbook and how we execute the business with the sellers, with the consumers, with the local stakeholders, with the brands the assortment in very adapted through the local specificities. And I think for us, where Egypt is our second largest market and it's in our mind every morning and every night and every year, every minute and mature for our competitors the same focus right. And at the end of the day we win e-commerce because you win the execution and you win because you have the right assortment, the right prices, the right brands, the right way to engage with the sellers, with the consumers, with the stakeholders.  In Egypt recently, we also launched Jumia foods, which is our food delivery platform. So this is very new. This is for a couple of weeks now and we're launching it as we speak. And so the consumers you know when we think about Jumia they think about e-commerce but they also think about JumiaPay. There lot of usage on JumiaPay to make payments and utilities and so on. And they also now can use Jumia food. And so as we bring this relevance to the consumers, this is also for us a differentiating factor for consumers to prefer using Jumia.
Unidentified Analyst: Okay, great, thank you.
Operator: The next question comes from Sarah Simon with Berenberg. Please go ahead.
Sarah Simon: Yes. Hi, afternoon, everybody. I got a few questions. First one is on marketing spend in Q4, obviously, it's stepped up versus Q3 as you'd kind of expect to the seasonality. But customer growth didn't increase very significantly. So can you talk about what you spent the marketing money on? Second one is, obviously, gross profit after fulfillment expenses growing very strongly. But even if you keep all of your fixed costs below the gross profit after fulfillment line flat, you need to basically increase that number by a multiple of four to get to breakeven, but you're not growing that fast at the moment. So I'm just wondering how you weigh up the idea of a sort of steady path to breakeven, but maybe slightly further away versus a more aggressive growth push that would lose you more money more quickly, but probably get you there faster, because you don't have a balance sheet issue now, now that you've raised capital.  And then just a question that you obviously highlighted, GDP sensitivity to the post sort of pandemic effects. Would you agree, though, that the cause of the focus and the shift in emphasis towards more small and everyday items that you should be sort of less reliant on GDP are more resistant say to the economy, if you're selling small, everyday items, and if you're selling big mobile phones, for example? Thanks.
Sacha Poignonnec : Thanks, Sarah. And I think if we start with this one, I would agree with you right. And I think the fact that we are well positioned on the everyday category is definitely positive and helps. At the same time, I mean, you see the share business from phones and electronics, I mean, it's still 43%. Right, in 2020, so there's definitely, for us and exposure to some high value items. And I think the sentiment among the consumer, I mean, is what it is right now with all this uncertainty. So we'll see what happens. And I think we have proven in 2020, very clearly that, we have relevance for the, we are reflection, and of what the consumers do and spend.  And you can see how diversified, we've been showing this in the previous release, we have a lot of exposure to fashion, fast moving consumer goods, Jumia foods, all now with the digital transactions, utility, etcetera. So we'll see what happens, I would agree with you. But at the same time, we still have exposure to high value categories. And if the market goes down in those categories, we'll see what happens. Right. So I think generally agree with you, but those facts to keep in mind. Now, on the marketing standard, first question and the increase, I think from the consumer growth we have to be always quite careful if you compare the spend of marketing between Q3 and Q4 and if you look at the last 12 months, consumers because you carry, of course, the last four quarters. And you know, and when you compare the last four quarters, at the end of Q3 is the last four quarters at the end of Q4, there could be some dynamics from last year that you're carrying on. So in general, this is something that, you want needs to be just careful because you compare two quarters in the case. And in the other case, you compare two trailing 12 months period.  So just to keep in mind, and where we spend the marketing is very much a mix of data driven, very programmatic, tech driven online marketing, which we use to drive both new users, new app users who are downloading the app. And then, we add the spend to take them back to the platform until they can convert and then we use also that technique to bring back some old users and we call that retargeting specific users to bring them back to Jumia so that they can discover new products or new categories, or and so on. And then we have a lot of local marketing and local engagement. And here, of course, we have our JForce program, which is very successful in many countries where we have the sales consultants and dozens of 1000s of consultants for educating consumers in Jumia and helping them discover and how to use it.  We also have large networks of local and you can call that influencers, I guess that local key opinion leaders who are, posting videos about Jumia and explaining to their users how to use it and how to check the quality of the products and all those things I mentioned to Aaron about education. And then every once in a while, for Black Friday, we have also some typical offline spend, billboards and video campaigns on YouTube or on TV and things like that. So it's how we do it. And usually, there's a spike of marketing towards the Q4, as you pointed out.  And then how do we get to profitability with the various aggregates? Yes, of course, there's many ways we can get there as you as you pointed out, and when you look at the rate of growth of the gross profit after procurement versus the amount of cost, of course, you have to put the amount of cost in the dynamic way. And you can see how those costs have been going down, right. So there's a possibility that those costs can go down, of course, and they're supposed to need to go there with a faster growth of gross profit after fulfillment, and this faster growth of the gross profit after procurement can come from, of course, more usage, right, more orders, more consumers, more GMV. But it also can come from more monetization of our platform assets.  And typically, Jumia advertising, typically, Jumia logistics, the revenues that we drive from those, of course, when we bring revenue and they bring strong increase of the gross profit after fulfillment, even if it's not related to Jumia consumer, right. So I think we're very confident that we can accelerate the growth of the gross profit accessible payments, either through more usage, and or more revenue streams, which are not related to the usage, because we've been launching those, and two, we feel confident that we can either keep our cost stable, or even if we have to, we can still take them down.  So I think we have lots of ways to get there. And I think also, the point that we were trying to make is we're really focused on bringing the facts and the evidence of the past in proximity. Right. And that's what matters more to us than actually reaching proximity at group level. We want to be very comfortable to recover that, look, the model completely works. And the evidence and facts are very clear. And rather than saying, we must absolutely breakeven for one full year at group level. It's more about continuing to bring those milestones, continuing to bring those evidences, so that there is not really [indiscernible].
Sarah Simon: That's really helpful. Can I ask one follow up question, which is, sorry I forgot to ask initially? There's been quite a lot of chat about higher shipping costs coming out of China, higher freight costs. Is that impacting the business at all? And if it is, how are you passing it on to the consumer?
Sacha Poignonnec : Yeah, very good question. And, yes, you're seeing and our cross border business from China, while let you know double digit or 10% to 15% of the item sold. So that's how much we are talking about for Jumia this cross border business, and it's been working very well. And those increasing trade costs, of course, they are a problem, obviously, and they're not helping. But at the same time look, that's why I say we are so diversified, and this is just one area of the business. So it's not been helping, definitely. And then we use a lot of data science to define the optimal pass through of those trade costs, both to the consumers and to the sellers, right.  And there's of course, a relationship between comments you pass to each and conversion rate of the item sold, and the perception also, and so this has been something that I would say is a constant optimization, when you have a certain amount of freight cost, you may decide to hide back “into the price of the product”, or you sometimes want to put it as very identified freight cost. Sometimes you want to give it more to the seller and to the consumer. So it's, you know, long story short, it's a dynamic equation, which is very data driven. But something that of course, is not helping and impacting but again, like you know, we are diversified, so it's something that we did not think was worth like commenting a piece for activity but we are volunteering, of course as an answer. 
Sarah Simon: Thanks a lot.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Sacha for any closing remarks.
Sacha Poignonnec: Well, thank you very much as always, for your support for attending and we're very committed also to explain what we do and talk more. So we appreciate, we are still a young company and now, two years listed. So always do reach out and we will be happy to discuss and explain and talk more about what we do. Thank you very much and stay safe. Take care. Bye, bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.